Operator: Greetings, and welcome to the Bridger Aerospace Fourth Quarter 2025 Conference Call. As a reminder, today's call is being recorded. It is now my pleasure to introduce your host, Eric Gerratt, Chief Financial Officer. Thank you. Mr. Gerratt, you may begin.
Eric Gerratt: Good afternoon, and thank you for joining us today. Joining me on the call this afternoon is Chief Executive Officer, Sam Davis; and incoming CFO, Anne Hayes. Before we begin, please note that certain statements contained in this conference call that do not describe historical facts are forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Since forward-looking statements are based on various assumptions, risks and uncertainties, actual results may differ materially from those expressed or implied by such statements. Factors that could cause results to differ materially from those expressed include, but are not limited to, those disclosed in the company's filings with the U.S. Securities and Exchange Commission, including our expectations regarding financial results for 2026. Management cannot control or predict many factors that impact future results. Listeners should not place undue reliance on forward-looking statements, which reflect management's views only as of today. We anticipate that subsequent events and developments will cause our assessments to change. However, we undertake no obligation to revise or update any forward-looking statements or to make any other forward-looking statements. Throughout this afternoon's earnings release and call today, we refer to the non-GAAP financial measure adjusted EBITDA. The definition, calculation and reconciliation to the financial statements of adjusted EBITDA can be found in Exhibit A of our earnings release, which is available on our website. We believe adjusted EBITDA is useful in evaluating our reported results as a supplement to and not a substitute for results reported under GAAP. With that, I'd like to turn the call over to Sam.
Sam Davis: Thank you, Eric. First, I wanted to say how proud I am of our team throughout this period of incredible growth. They have risen to the occasion and have been the champions of Bridger culture and focused on the mission and dedicated to safety. Their execution drove record operational and financial performance again in 2025. We generated positive net income and posted a second year of positive cash flow with revenue and adjusted EBITDA both growing by more than 20%. It's important to note that this record performance was achieved during what was statistically a below-average fire year. This financial resilience underscores the strength of our business model, the growing diversification of our revenue streams and the benefits of securing longer-term task orders for our aircraft. While the reported number of wildfires nationwide was noticeably higher in 2025 at nearly 78,000 fires compared to the 5- and 10-year averages of around 62,000, they burned far below the normal acreage nationwide of 5.1 million acres, more than 30% below the 5- and 10-year averages. This is likely the result of our federal and state customers' growing emphasis on early detection, initial and direct attack, and a more rapid response to wildfire. This proactive approach, combined with the impressive performance of our scoopers and enhanced Air Attack assets helped drive strategic prepositioning of our fleet and improved utilization in 2025. Utilization, which is measured in days on contract, was up almost 10% year-over-year. Our multi-mission aircraft almost doubled their flight hours year-over-year and remained deployed well into November. The increased utilization rates have paralleled an ideological shift in how the U.S. fights wildfires. Throughout 2025, we saw many federal and state customers place increased emphasis on initial and direct attack. Fortunately, for Bridger, we have the aircraft best suited for this aggressive wildfire management style. We are directing our efforts to maximize the use of aircraft we have while finding other opportunities to expand our capacity with additional aircraft. Looking at the 2025 wildfire statistic for Super Scoopers specifically, there continues to be unmet demand, as demonstrated by over 60 orders that were unable to be filled due to aircraft already deployed in fires. Of the total requests made, this represented a 48% unfilled rate. So far this year, we have deployed 2 Pilatus PC-12s and 2 Super Scoopers to fight fire. Of the PC-12s, 1 multi-mission aircraft mobilized to Oklahoma and 1 mobilized to Texas to provide aerial intelligence for early season wildfires. The call-up of our enhanced Air Attack platform demonstrates the aforementioned prioritization of early detection and the proven effectiveness of our advanced sensors and imaging systems. Demonstrating our ongoing commitment for year-round readiness, at least 3 of our Super Scoopers have remained ready throughout the winter months to be dispatched or to support training. Early in the year, we even prepositioned aircraft in Arizona as a proximity advantage as wildfire threats began to rise in the southern states. Let me now provide an update on our contracting as we look out to 2026. We continue to target multiyear and exclusive-use contracts to build resiliency in our revenue and drive utilization. Maximizing the number of these exclusive-use commitments helps to ensure our fleet remains dedicated to critical wildfire response efforts. We are in active discussions with numerous states to provide exclusive use of our firefighting assets and are optimistic that current budgeting and planning cycles will lead to future opportunities in the coming months. Just this week, we announced a 5-year multiple award, indefinite delivery, indefinite quantity, or IDIQ, contract for call-when-needed fixed-wing transportation services in Alaska. We will be supporting personnel and cargo movements for the U.S. Department of Interior and other federal agencies on an as-needed basis. Although this is not a guarantee, this contract is estimated at $18.6 million. This contract allows Bridger to create additional work for existing aircraft as well as answer demand as we grow our fleet with similar capabilities at the state and federal levels. Through our FMS subsidiary, we are dedicating resources for modification work on several internal aircraft to enhance our technology platforms. These modified aircraft are becoming a growing part of our contracting discussions. We're also in active firefighting contract discussions for our first 2 Spanish scoopers in Europe, having purchased them from our partnership with MAB Funding, LLC in the fourth quarter. The third and fourth Spanish scoopers continue to undergo the final stages of their return-to-service work by our Spanish subsidiary, Albacete Aero. As they become available later in 2026, we will look to enter discussions with MAB to potentially acquire these aircraft as well. Let me now provide a quick update on FMS and Ignis, our 2 acquisitions. FMS contributed $7.9 million in revenue for 2025. As I mentioned, much of their resources have been dedicated to internal aircraft modifications for Bridger aircraft to solidify our competitive edge. These technology-enhanced platforms are in high demand and have been instrumental in our ability to position Bridger for high-margin work. We also continue to see a number of contracting opportunities, primarily with the DOD in active bids with FMS' capabilities that put Bridger uniquely positioned to respond to. In addition to awarded work with our partner, positive aviation for the FF72 aircraft, our recent wins include a small award with the U.S. Air Force and Borsight. While revenue in FMS saw delays due to federal budgeting uncertainties through 2025, we do see momentum in federal funding with recent increases through the National Defense Authorization Act for 2025 for $895 billion. With our integrated services, we remain well positioned for a wide range of defense as well as commercial work. We're in the middle of repurposing our business development team to target this work. And much of the opportunities are fairly small and strategic with potential to scale into large volume, nonfire, nonseasonal, complementary to the services we already provide. Also, a quick update on the Ignis Technologies platform. Since launching the mobile platform to support firefighters in the field over a year ago, pilot programs utilizing the platform with counties, crews and incident management teams continue. We are now linking Bridger's real-time sensory image with the Ignis app, creating a seamless data flow from air to ground. Already this year, we have been live streaming wildfire progression, delivering perimeter mapping and even providing drop targets for aerial support as we deliver our imagery to ground firefighters, pilots and incident commanders to make effective real-time decision and enhance the safety of all operations in the fire stack. This capability is unlocking new levels of situational awareness and supporting multi-mission aviation contracts and enhances both operational effectiveness and safety. With the continued success of our sensor-enhanced aircraft in this field, the need for interactive live data streaming is stronger than ever, and we intend for this to be a critical part of our sensor-enhanced aviation contracts this year. As we look out to 2026, we are well positioned for another year of greater than 25% growth. This includes revenue from our 2 new Spanish scoopers as well as 2 new Air Attack aircraft, which we added in the fourth quarter. Our improved balance sheet provides the financial flexibility to acquire additional aircraft in response to contract expansion opportunities and further drive EBITDA growth and long-term shareholder value. This growth stands against the backdrop of recent federal initiatives to restructure our national wildland firefighting system. This includes the executive order in early 2025 that called for the establishment of a national wildland firefighting task force, the establishment of the wildland fire service and passage of the Fire Ready Nation Act and Aerial firefighting Enhancement Act of 2025, all of which are focused on improving wildfire response. With Bridger's significant Air Attack fleet, including modern fire imaging and surveillance aircraft and the world's largest private Super Scooper fleet, we believe we are uniquely positioned to protect lives, property critical infrastructure and the environment as the nation focuses on preparedness and aggressive wildfire suppression. We have exciting opportunities before us, and I remain grateful and humbled to lead this exceptional team. Let me now turn it back to Eric, who will talk about our strong financial performance in 2025.
Eric Gerratt: Thanks, Sam. Looking at our results for the fourth quarter of 2025. Revenue was $8.5 million compared to $15.6 million in the fourth quarter of 2024. The decline year-over-year was partially related to the later deployment of our Super Scoopers in the fourth quarter of 2024 compared to the fourth quarter of 2025. Excluding revenue from -- for return-to-service work performed on the Spanish Super Scoopers as part of our partnership agreement with MAB Funding, LLC, which was $0.8 million in the fourth quarter of 2025 and $5.1 million in the fourth quarter of 2024, revenue from ongoing operations, including FMS, was approximately $7.7 million compared to approximately $10.5 million in the fourth quarter of 2024. Cost of revenues was $14.1 million in the fourth quarter of 2025 and was comprised of flight operations expenses of $5.7 million and maintenance expenses of $8.4 million. This compares to $15.4 million in the fourth quarter of 2024, which included $5.8 million of flight operation expenses and $9.6 million of maintenance expenses. Cost of revenues associated with the return-to-service work on the Spanish Super Scoopers declined $4.2 million in the fourth quarter of 2025 compared to the fourth quarter of 2024. Selling, general and administrative expenses were $13.4 million in the fourth quarter of 2025 compared to $7.7 million in the fourth quarter of 2024, primarily reflecting an increase in the fair value of our warrants and an increase in earn-out consideration compared to the fourth quarter of 2024. Interest expense for the fourth quarter was $6 million compared to $5.9 million in the fourth quarter last year. Other income was $10 million in the fourth quarter of 2025 compared to $0.3 million in the fourth quarter of 2024. The increase was primarily attributable to a gain of $16.9 million related to the sale-leaseback transaction, partially offset by a loss of $7.8 million on the extinguishment of debt in conjunction with our debt refinancing in the fourth quarter of 2025. For the fourth quarter of 2025, we reported a net loss of $15.1 million or $0.40 per diluted share compared to a net loss of $12.8 million or $0.36 per diluted share in the fourth quarter of 2024. Adjusted EBITDA was negative $9.5 million in the fourth quarter compared to negative $2.9 million in the fourth quarter of 2024. A reconciliation of adjusted EBITDA to net loss is included in Exhibit A of our earnings release distributed earlier today. Looking at our results for the full year 2025. Revenue was $122.8 million compared to $98.6 million in 2025 -- 2024, a 25% increase. Excluding return-to-service work on the Spanish Super Scoopers, revenue was $108.8 million compared to $88.5 million in 2024, which was up 23%. Cost of revenues was $71.1 million comprised of flight operation expenses of $31.9 million and maintenance expenses of $39.2 million. Cost of revenues for 2024 was $57.5 million comprised of $31 million of flight operations expenses and maintenance expenses of $26.5 million. Cost of revenues for 2025 included an increase of approximately $5.4 million of expenses associated with the return-to-service work on the Spanish Super Scoopers compared to 2024. SG&A expenses were $36.3 million compared to $35.8 million in 2024, with the increase primarily driven by an increase in the fair value of our warrants partially offset by a decrease in noncash stock-based compensation expense. Interest expense for 2025 was $23.3 million compared to $23.7 million in 2024. We also reported other income of $11.8 million for 2025, inclusive of the gain of $16.9 million on the sale leaseback transaction, partially offset by the loss of $7.8 million on the extinguishment of debt. Other income was $2.1 million for 2024. Net income was $4.1 million in 2025 compared to a net loss of $15.6 million in 2024. Adjusted EBITDA was $45.3 million in 2025 compared to $37.3 million in 2024. Turning to the balance sheet. We ended 2025 with total cash and cash equivalents of $31.4 million. During the fourth quarter, we completed our previously announced sale-leaseback transaction with SR Aviation infrastructure for our Bozeman Yellowstone International Airport campus facilities. We also entered into a new senior secured facility for up to $331.5 million led by Bain Capital's private credit group. Together, these transactions were used to refinance Bridger's $160 million municipal bond with Gallatin County and consolidate the majority of our other existing debt. Most importantly, our new credit facility provides significant capacity and financial flexibility through a delayed draw facility of up to $100 million designed to fund future fleet expansion to support the economic growth we are pushing. Let me now turn the call over to Anne Hayes, our incoming CFO, to go over our 2026 guidance.
Anne Hayes: Thanks, Eric. We are starting 2026 with the addition of 6 new aircraft on balance sheet. This consists of 2 previously leased PC-12 with contracts through 2027, 2 King Air multi-mission aircraft and the 2 Spanish scoopers purchased in December. These new assets, coupled with increased utilization on the existing aircraft, will help us achieve growth of over 25% from last year when excluding the 2025 return-to-service work in Spain. We are initiating 2026 guidance ranges of $135 million to $145 million for total revenues and $55 million to $60 million for adjusted EBITDA. The company also expects continued improvement in cash provided by operating activities in 2026 and positive net income. Company is evaluating several different international operating contracts for the 2 scoopers that we closed in December, which are currently stationed in Spain. The contribution from the scoopers and the 2 new MMA aircraft is expected to be roughly 10% to 15% of 2026 revenue at a approximate 40% EBITDA margin. While we've had a good start to the year with 2 scoopers and 2 Air Attack flying in late February, we expect to report a net loss in the first quarter due to the winter maintenance activity. With that, I'll turn it back to Sam for final comments.
Sam Davis: Thank you, Anne and Eric. As we announced in November, Eric is officially retiring at the end of the month, and Anne is taking over the CFO role officially on March 10. I want to again express our gratitude to Eric for his financial leadership over the last 3.5 years and his dedication to building Bridger into the resilient and profitable company that it is. I also want to take the opportunity to say how excited we all are to welcome Anne Hayes officially as our new CFO, having joined us after serving as Audit Chair of our Board of Directors. She is ideally suited to lead us through our next chapter of growth and is clearly bought into the mission, evidenced by her step from Audit Chair to join the Bridger team. I also want to welcome Bill Andrews, our new Chief Operating Officer, announced earlier this week. He joined us most recently from Lockheed Martin as Vice President and Executive Program Manager for C-130s, C-5s and P-3s from development to support. As a U.S. Air Force and Air National Guard veteran for over 25 years, he served as an aircraft commander and C-130 evaluator pilot. We're privileged to have him join us both for his stellar career and his exemplary military service, which are an incredible fit for the Bridger mission. He has the right skill set to help grow Bridger into a robust and scalable organization. Having led multibillion-dollar programs at Lockheed Martin across aircraft delivery, upgrade, support and readiness initiatives, he is exactly who we need to grow our organization in size and year-round operation. This includes his experience supporting the C-130 MAFFS aerial firefighting aircraft for the California Air National Guard. We also see his unique service and support in the defense space as instrumental as we pursue additional opportunities adjacent to our firefighting missions. To recap 2025, we flew in 21 states. We provided support for 380 fires and dropped 7.3 million gallons of water. We had the earliest deployment in customer history with scoopers dispatching to the Palisades fire in California in January. Across the fleet, we flew record hours greater than 10% above 2024 in a relatively slow fire year. And when we came home from the field in November, we had maintained 96% uptime on contracts, had driven 125,000 miles in our support vehicles, and most notably, every Bridger employee came home safe. As we sit here today, 3 of Bridger's scoopers have completed winter maintenance and 2 of those are already responding to early season wildfire activity in Texas. One MMA is on contract in Oklahoma and one Air Attack is in Texas. Air Attack aircraft are on standby here in Bozeman, preparing work for early 2026. The remaining 3 scoopers are finishing up winter maintenance and should be ready over the course of the second quarter. Our staged winter maintenance program ensures we can provide flexibility within our fleet, utilize the excess capacity of our scoopers and deliver year-round readiness. Legislation and greater appropriations to prioritize preparedness, early detection and suppression are making a difference to how we fight wildfire, and Bridger is uniquely positioned to support our federal and state customers. As Anne stated, we are on track for another record year, supported by a much improved balance sheet with significant capacity and financial flexibility to fund future fleet expansion, drive organic growth and build on our long-term vision to innovate and deploy the most advanced technology in our industry and deliver on our mission to protect lives, property, critical infrastructure and the environment. Together, our team is ready to answer the call to serve year-round. We're excited for and positioned to make 2026 another incredible year. With that, I'd like to open up the call to the operator for any questions.
Operator: [Operator Instructions] Our first question comes from Austin Moeller with Canaccord.
Austin Moeller: So just my first question, I was going to ask about the appointment of Bill Andrews. Is the intent there for him to help build out the FMS business? Or does this potentially signal that you might buy like C-130s or other government aircraft after the recent legislation that permits that?
Sam Davis: Yes. So primarily, Bill's focus is -- good to talk to you again, Austin. Thanks for the question. Primarily, Bill's focus is going to be on making sure that our fleet is deployed and ready to go year-round across the country and really focus on our operational excellence and build upon that. But it's more aligned with your first comment where we're looking at all of the expertise and the years of experience he has of leading very large programs, obviously, at a much different scale that he can bring that context into the Bridger family. And we're uniquely positioned, I think, with our integrated services to do defense work adjacent to the mission we're doing in firefighting with all of the services we have in-house and really taking the opportunity with the funding going on in the defense space and the work that we have in the team and have Bill help identify and lead the team to capitalize on some of that. There's a lot of appropriately sized work for us to do, both on modification, flight test and design to go after defense work and other smaller jobs that maybe the larger primes can't quite capture. And we have the quick ability to do turnkey solutions, and FMS is a key part of that.
Austin Moeller: Okay. And can you give us any update on the return-to-service work for the second 2 Super Scoopers being worked on under MAB Funding and when they might be returned to service and you could potentially purchase and take ownership of those aircraft?
Sam Davis: Yes. Great question. So I think last we left off, the third aircraft is quite near certification of airworthiness. And so there's a clear opportunity if we're focused on the first 2 getting firefighting work in Europe this year and then exploring potentially moving them even back to North America for fighting fire in the future. So the third is near completion, and that obviously makes that a much closer target for us from an acquisition perspective. The fourth is a little bit further out. We're sourcing parts and working to get that underway. That would probably be a little bit later in the year, if not toward the end of the year, that we would get that complete. But again, focusing on folding in the first 2 to doing firefighting, and 3 and fourth are a nice dovetail in to work that we find for the first pair.
Austin Moeller: Okay. And just one more here. Can you speak to the potential contract opportunities in Europe, which ones you -- which countries you think are perhaps the highest probability that you could get deployed in advance of the fire season in Q2?
Sam Davis: Yes. And I'll be as direct as I can be without being too speculative or leading here because we're in communication and negotiations. But the 2 leading countries, I would say, that have shown great interest in committing to the scoopers stationed in Spain would be Portugal and Turkey. We're working with our partner overseas in Europe, Avincis, that has helped us both on the return-to-service work and flight operations to pursue those countries with the economics we have in mind together as well as the mentality of the first come first serve basis as they get set up for the fire season. In terms of timing, the appropriations are a little bit later than ideal in Europe, not as quite as early as a commitment as you get in the U.S. So we're hoping to have something in line and defined by March or maybe end of April. So that's kind of the time line we're managing to. There are other countries that would be interested. They just haven't gone as far down their appropriation cycle as the first 2.
Operator: [Operator Instructions] At this time, there are no further questions in queue. I will now turn the meeting back to Sam Davis for any additional or closing remarks. And my apologies. We actually did get an additional question. We'll move to Mark Williams with EmergingGrowth.com.
Mark Williams: Great. Congratulations on another strong quarter. Just real quick, with the 2026 guidance removing the return-to-service revenue and profitability from that, how should we think about normalized EBITDA margins across core missions? And what will be driving the expansion forecasted?
Sam Davis: Yes. Thanks, Mark, and appreciate you asking the question. I'll answer kind of the first part, and then I'll let Anne jump in if she can. We're focused on the expansion with the expanded capacity in the current fleet we have and capitalizing more on the margins with the core fleet, not including the return to service as you mentioned. So improving both the utilization, including the days and hours we have on contract for our scoopers and Air Attack aircraft in hand as well as the addition of 2 scoopers in Spain, which we're factoring in as well as 2 additional sensor-enhanced planes we -- will add to contract here shortly. And as everybody should know on the call, those sensor-enhanced planes have quite attractive margin versus nonsensor enhanced, so continuing to drive those margins up overall, an improvement. Anne, I don't know if there's anything else you want to add there.
Anne Hayes: Yes. No. So we had -- in 2025, we had about $14 million in revenue from the return to service, so we're increasing 29% when excluding that in 2026. And as far as the margins, as Sam mentioned, our scoopers are generally over 40% adjusted EBITDA margin, and our newer MMA aircraft can be as high as 40% to 50% or above. So any aircraft that we're adding at this point are increasing EBITDA margins compared to the more simple Air Attack that did not have the sensors could have a lower EBITDA margin.
Mark Williams: Okay. Great. And then along those lines, maintenance expenses increased in 2025 as aircraft were added. And with the addition of the new aircraft, how should we think about how expenses, maintenance expenses should scale with those aircraft?
Sam Davis: Okay. I'll take the first part of this, Mark, again and then let Anne put some numbers behind it. But excluding, again, the return to service, we see -- we saw less of an increase in our cost of revenue as opposed to the revenue that we saw year-over-year and continue to see that as we set guidance for this year because we're seeing more economies of scale as the fleet grows and we become more efficient with spend. There were some additional costs -- variable costs that are associated with being deployed more and having more activities such as travel, obviously, wear and tear on aircraft and more of the maintenance intervals that we have to perform. However, it grows at a less of a rate than the revenue grows. So we're -- we have that factored into a more profitable gross profit this year with our core fleet and the aircraft that we're adding.
Anne Hayes: Yes. I would just add that, in 2025, the aircraft maintenance did include that Spain return-to-service work, so we will see that decrease in 2026. And we are seeing margins, as mentioned earlier, with that decrease; and the high-margin aircraft, we are seeing margins increase.
Mark Williams: Okay. Great. And then last question, just real quick. With the refinancing and the liquidity available under the DDTL that occurred this past year, do you see any need for additional funding throughout the next year or 2? Or especially bringing on the 2 new scoopers, I don't know if they were funded under the DDTL or part of other parts of that funding that -- how should we think about that?
Sam Davis: Yes. So good question. The DDTL that we have in hand, which at close was $100 million, we built that around what we see for the next couple of years in terms of opportunity of aircraft that we could go out and add to contract and contribute the same as the fleet we have, which does include aircraft 3 and 4 scoped into that amount. So we don't yet foresee any problem of outpacing -- of our growth outpacing that from an aircraft acquisition perspective. We could obviously revisit that if the demand necessitated that many aircraft. But right now, including the aircraft we added at the end of the year, that was factored into the model at the time we closed it. And so we're on pace for that. And that, again, is a good outlook for us for the next couple of years.
Eric Gerratt: Yes and just...
Anne Hayes: And just to provide -- sorry. Go ahead.
Eric Gerratt: Well, just real quick, Mark, just the other thing to add. So the purchase for the first 2 Spanish scoopers was included in the overall term loan. So we didn't tap the deferred draw facility for those. And to Sam's point, the 2 surveillance aircraft we added at the end of the year did come out of the DDTL facility, but there's still about $90 million left in it. So the first 2 Spanish scoopers came out of the term loan that's already on the balance sheet, and we still have, like I said, about $90 million of capacity on that deferred draw facility.
Operator: There are no further questions at this time. I'd now like to turn it back to Sam Davis for any additional or closing remarks.
Sam Davis: Thank you. Thanks again for joining our conference call today. We look forward to updating you on our progress when we report our Q1 results in May. If anyone has any follow-up questions, please reach out to our Investor Relations. Thanks, and have a good day.
Operator: Thank you. This brings us to the end of today's meeting. We appreciate your time and participation. You may now disconnect.